Operator: Welcome to the First Quarter Year-End Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the Company's annual information form as filed with the Canadian Securities Administrators and in the Company's Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, May 1, 2018. And at this time, for opening remarks and introductions, I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator, and good morning, everyone and thanks for joining us for today's first quarter conference call. As the operator mentioned, I'm Jay Hennick, Chairman and Chief Executive Officer and with me today is John Friedrichsen, our Chief Financial Officer. This conference call is being webcast and is available on our Investor Relations section of our website. And a presentation slide deck is also available to accompanying the call. Earlier today, Colliers' reported very strong first quarter results with balanced revenue growth of internally and from acquisitions, revenues were $552 million, up 18%, EBITDA was $36 million, up 16% and earnings per share came in at $0.45, up 25% over the prior year. Revenue pipelines continue to indicate sustained activity across all of our service lines with generally stables to positive market conditions in most of our major markets around the world. John will have more to say about these and our other financial results in just a few minutes. With our operating momentum to date a total of five acquisitions completed already this year and the growth opportunities we continue to see we have every reason to expect 2018 to be another very successful year for Colliers. Just in April we expanded our revolving credit facility to $1 billion improving our pricing and extending the term until 2023 providing us with additional capacity to grow our business. As you know our current five-year growth plan is to double the size of our Company by the year 2020. We're now in the third-year of our plan and I'm pleased to say that we're on track. If our plan is successful as it has been in the past we expect is to translate into significant incremental value for our shareholders. And given the amount of equity our leadership team and directors hold in Colliers more than any of our peers by a country mile. We have every incentive to create value for our shareholders for many years to come. Now, let me turn things over to John for his review of the financial results. Then we'll open things up to questions. John?
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning, and Jay in his opening remarks, Colliers International were reported strong consolidated financial results for our first quarter, with solid contributions from most of our operations across our global platform, highlighting the benefit of our service line and geographic diversification. I will address our overall consolidated financial results for the quarter, our operating results by reporting region as well as our capital usage and financial position. Please note that both our first quarter 2018 and compared to the first quarter 2017 results reflected option of the new revenue recognition standards on a U.S. GAAP. On our first quarter of fiscal 2018 consolidated revenues increased $552 million, up 14% of local currencies from $466 million in the first quarter of 2017, a 6% of our growth generated internally and the balance from acquisitions. Total revenue growth for the quarter in our U.S. dollar reporting currency was 18%. Adjusted EBITDA for the quarter totaled of $36.1 million, up from $31.3 million in Q1 of last year, an increase of 14% of local currency, 16% in U.S. dollars, with our margin coming in at 6.5% comparable to 6.7% report last year. And adjusted earnings per share came in at $0.45 compared to $0.36 per share reported for the first quarter of last year, up 25% in U.S. dollars, with $0.01 favorable impact from FX on adjusted earnings per share in the quarter. Our adjustments to GAAP EPS and arriving on adjusted EPS are outlined in our press release issued this morning and are composed primarily of non-cash charges that we view as largely unrelated with our operating results and are consistent with those presented historically. Turning to our operating results, I will now provide a review by major service line and by region, with all percentage changes in revenues based on local currencies. Our $552 million in revenues for the quarter was comprised of $143 million in Sales Brokerage, up 13%, while Lease Brokerage came in at $168 million, up 12% over Q1 2017. Meanwhile revenues from Outsourcing & Advisory services totaled $242 million, up 15%, distributed relatively evenly across project management, property management, valuation and consulting services. Revenues generated by our Outsourcing & Advisory services segment represented 44%, for overall revenues in the quarter, up slightly from 43% in Q1 of last year. Geographically, 59% of our revenues and 71% of our adjusted EBITDA was generated in the Americas in our first quarter, with strong contributions to revenue and adjusted EBITDA from our Americas operations, relative to EMEA historic year compared to Q1 of 2017. In our first quarter, revenues in the Americas totaled $329 million, up 15% with 7% internal revenue growth and 8% from acquisitions. Lease Brokerage revenues were up 14% versus last year, with Sales Brokerage revenues up 15%, led by mid-teens percentage growth in Canada and mid-single percentage growth in the U.S. Outsourcing & Advisory revenues were up 14%, led by strong growth in Canadian valuations as well as property management and in both Canada and the U.S. Adjusted EBITDA came in at $26.5 million, up 18% versus $22.4 million last year, and a margin of 8.1% versus 7.9% last year. Turning to EMEA. Revenues of $116 million in the quarter increased 11%, with an internal decline of 2%, offset 13% growth from acquisitions relative to Q1 of last year. Reported revenue growth in our U.S. dollar reporting currency was 27% based on the appreciation in both the euro and pound currencies. Both Lease Brokerage and Sales Brokerage revenues were up 1% over a strong comparative quarter last year, which saw a rebound in activity, particularly in the UK arising from the temporary Brexit-related slowdown in the latter part of 2016. Meanwhile revenues from Outsourcing & Advisory services increased 20%, led by revenues generated from our Finnish acquisition completed in January, accompanied by strong increases in valuations and project management revenues in the UK and Netherlands. Adjusted EBITDA decreased to a loss of $400,000 from a positive $3.7 million in Q1 2017, impacted by planned investment in professional staff to drive new service line growth as well as revenue mix. Despite the lower revenue growth and adjusted EBITDA performance at the start of the year, our pipeline of transaction and Outsourcing and Advisory revenue remain strong, we expect solid growth in revenue and EBITDA for the balance of the year. And finally in our Asia-Pacific region, revenues came in at $108 million, up 14% of local currencies, and 18% in U.S. dollar terms, with 12% growth in local currencies revenue generated internally and the balance of growth across - with balanced growth across service lines, including robust growth in Sales Brokerage revenues, primarily in Hong Kong and China and Lease Brokerage revenues across the entire region. Both in Outsourcing & Advisory revenues were led by project management revenues increases across the region, including the favorable impact two small acquisitions made in Australia in late 2017 and in China earlier this year. Adjusted EBITDA was $11.2 million, up sharply from $6.9 million last year, with our margin at 10.4% versus 7.6% as we benefited from greater scale and operating leverage. Moving to our capital deployment and balance sheet, in our first quarter of 2018, capital expenditures totaled $6.2 million, largely in line with $6.7 million last year. Our estimated range of CapEx spend for 2018 is $40 million to $42 million. We invested $88 million in acquisition activities during the quarter, up significantly from $56 million Q1 of last year. Turning to our balance sheet, our net debt position stood at $325 million at the end of the quarter compared to $141 million at year-end, which is typically the seasonal low point in terms of our debt level and $307 million at the end of Q1 last year. Our leverage ratio, expressed as net debt to adjusted EBITDA, stood at 1.3 times versus 1.4 times at the end of Q1 2017, despite the robust acquisition-related investment to start the year. As already mentioned by Jay, after the end of the quarter, we increased our committed availability under our revolver to $1 billion and extended our maturity to 2023, while improving pricing and providing greater flexibility to achieve our targets under our Enterprise 2020 plan. Looking across our global operations, our pipelines in most markets continue to reflect solid commercial real estate activity comparing favorably to levels at this time last year. We continue to believe that modestly rising but still low interest rates, accessible debt financing, general stability and supply and demand for commercial real estate in most markets remain supportive of steady activity, sales, leasing and other commercial real estate related services for the balance of 2018. Therefore, our outlook for the year remains largely unchanged, adjusted only for the impact of acquisitions completed to date. That concludes our prepared remarks, and I would now like to ask our operator to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Stephen Sheldon of William Blair.
Stephen Sheldon: Hey, good morning. Thanks for taking my questions.
Jay Hennick: Good morning.
Stephen Sheldon: I guess first here, can you talk some about expectations in EMEA over the remainder of the year? You saw modest decline in the first quarter, but it also sounds like there were some timing issues. So can you provide some more detail on those issues? And does the push out of some activity in the solid pipeline, with that, could EMEA be an above average grower, I guess, over the remainder of the year?
Jay Hennick: Yes, I mean couple of things impacting EMEA, in terms of overall growth and performance. A little bit lower level of transaction-related revenues. But as I indicated in my prepared comments, pipelines are strong across most markets, particularly the major markets in Europe. So we expect to see a reversal, certainly going into the next quarter. Beyond that, every indication is that stable to up support of the growth in that region. We also continue to invest in Europe, in particular around additional professional staff, which came on board late last year and earlier this year and has impacted our cost. We expect revenue related to that investment to start occurring in the back half of the year. So overall, we feel very good about where Europe is, notwithstanding a little bit of slower start in the year.
Stephen Sheldon: Okay, very helpful. And then I wanted to ask about growth within your multinational client base and maybe how conversation for there are going? Are those conversations getting progressively easier as you continue to scale your business? And can grow there become, I guess even more important overall growth driver over the next few years?
John Friedrichsen: Absolutely, I mean I think that this is somewhat of an incremental, but in other ways, and exponential outcome of what we have been building within Colliers over the last several years. I mean it's still relatively early days, certainly compared to many of our competitors, around our capabilities, around our corporate services offerings. And we've gained significant momentum, have captured some significant business with major multinationals around the world, and we're going to continue to pursue that. And we believe that we're really well positioned to execute in virtually every major market around the world. So I think we are a compelling alternative to companies that, I think historically, have been used to dealing with only a couple of providers.
Jay Hennick: Yes. Just to augment that, we see a big opportunity for us, with the point that John made near the end. This business was primarily dominated by one or two players on a global basis and then some regional players therefore the first time in the past two years. We've been invited for the party many times and have been very successful winning some very important mandates. We don't really announce those mandates as some of our peers do. But if you follow the growth in that segment of the business, you'll see that a lot of that growth is coming from winning business that are - that's global in nature and of the highest quality. So we're quite excited about it. And it gives us an opportunity to offer something different than the others.
Stephen Sheldon: Okay. And then I guess last one from me. Within the Sales Brokerage business in the Americas, you put up good growth in the quarter. Did you see any delays or timing shifts, particularly in kind of larger transactions closing in the U.S?
John Friedrichsen: Nothing, Stephen, of note. I mean it would be the usual you get the odd transaction that you expect to close in the quarter and one of the reasons circumstances arise that gets pushed into the quarter. But nothing that I would - worthy of commenting on, in our case.
Stephen Sheldon: Got it. All right. Thanks.
Operator: Your next question comes from the line of Stephen MacLeod of BMO. Your line is open.
Stephen MacLeod: Thank you. Good morning, guys.
Jay Hennick: Good morning, Steve.
John Friedrichsen: Good morning.
Stephen MacLeod: Good morning. I just wanted to follow-up on the Americas. Obviously, some very good growth in Sales and Lease Brokerage as well as advisory is pretty broad-based. And in terms of the operating leverage, Americas has had sort of a lower margin base. Would you expect that, through the year, you would continue to see ongoing incremental operating leverage in the Americas?
John Friedrichsen: Absolutely. I mean, it something that we are focused on. And as we have continued to build, it's been part of our, I guess, longer-term story, particularly around our U.S. operation. We're getting incremental gains in Canada, which does operate at a higher-margin business. And the outcomes in the U.S. around our continued investment and building of scale is going to pay off, is paying off. And we expect that to continue for the balance of this year and right through the 2020 plan that Jay referenced earlier on.
Stephen MacLeod: Okay. That's great. And do you have any - is that predicated on significant investment in new hires over the next several years? Or do you feel that you have a pretty good plan in place to build off of?
John Friedrichsen: Well, we - a key part of our strategy is to hug our A players and to continue to recruit market for market. Recruiting is, in fact, a small percentage of our movement on an annual basis. We've been very selective, as you've seen, in terms of the recruiting around gaps that we might have in a different - in any particular geographic region. So if we want to build up our capital markets in Chicago, we'll focus specifically on capital markets in Chicago. And so we've been very specific about recruiting. The other area that we have spent a lot of time on, and we think is going to pay off in heavy dividends over the years, is on our senior leadership teams on all levels, particularly in the United States. Because as you know, Stephen, we have - we've worked very hard at bringing together that platform, streamlining, trying to build leverage wherever we can, our revenues have gone through the roof. The accelerated growth in that business has been really exceptional. But with that exceptional growth, you need better leadership, stronger leadership, leadership for the future, and we've made some significant hires, many of whom we've announced, some of whom we have not because they happen to be in smaller, not major markets. But based on the momentum that we have and the culture that we have at Colliers, we've been a very attractive place for the most professional advisors and the business leaders that want to make a difference in growing the business. So we're very excited about the new additions. But as I remind everybody here, the most important thing is to hug our key people every single day, because they've been with us and continue to grow their own practices and deserved our support as well.
Stephen MacLeod: Right. Okay. That's great. Thank you. And then just finally, in Asia Pacific, you've talked a little bit about Japan. And I know Japan was a negative contributor in 2017. I think for 2018, you were expecting it to be a positive contributor. Can you just talk a little bit about how that market is going and how your recent investment in that market is evolving?
John Friedrichsen: Yes. I mean Japan was a new story for us in 2017. It actually was a small positive contributor. We'd expected it to be a bit of a drag, but it was actually a small positive contributor to the year. But we have continued to focus on building it organically. And it's really through headcount and attracting people that want to be part of, I think, a new story in Japan. As we've talked about, I think, on the previous call, the fourth quarter call, it is a big opportunity for us, one that we're going to pursue vigorously through trying to attract top-notch professionals that can join our business. Acquisitions are always an option, but that may not be until a little bit later. So it's a key component of our Asia strategy. And I think you're not really seeing much of an impact of that operation in our results. The results, really in Asia, for us in the first quarter, were due in large part to the hard work that David Hamm and his team have done over the last two to three years, and it's really a rebirth for Colliers as we've been there for a long time. We've got a lot of great new people that have now generated a lot of momentum. And with a small - very small, but interesting acquisition recently, we think that there's a new era for our Asian business, and we're excited about it. And that does include Japan.
Stephen MacLeod: Okay. That's great color. Thank you very much.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James. Your line is open.
Frederic Bastien: Thanks and good morning. You already invested more than $100 million in M&A so far this year. Now, I know you can't time acquisitions, but how are you feeling about the rest of the year? Do you think you can meet or perhaps even exceed what you've achieved already this year?
Jay Hennick: Well, I don't know about that. But I mean, I'm cautiously optimistic. Last year was a record year in acquisitions for us, so I'm cautiously optimistic we'll do better than last year in acquisitions. We had a great start to the year, and we have some interesting opportunities in the pipeline. But as you know they're always - there's always issues. They're strategic, sometimes they happen, sometimes it's too early for the target. There's all kinds of reasons why an acquisition might or might not be completed. But we do have a nice pipeline, and we're hoping to, at least, do as well as we did last year.
Frederic Bastien: It certainly seems that with the - I guess, the beginning of the year you've had in terms of organic growth and what you're seeing right now, what you've already accomplished on the M&A front, you should be able to exceed the EBITDA growth that you achieved in 2017.
John Friedrichsen: We are surely budgeting that. That's for sure.
Frederic Bastien: All right. Awesome. That's all I have. Thank you.
John Friedrichsen: Thanks.
Operator: Your next question comes from the line of Marc Riddick of Sidoti. Your line is open.
Marc Riddick: Hi, good morning.
Jay Hennick: Good morning, Marc.
John Friedrichsen: Hey, Marc.
Marc Riddick: I wanted to maybe follow-up a little bit on the acquisition type question. I was curious whether you could sort of give us a sense of - granted there's always different type of things going on but I wanted to get a general sense of maybe what bid-ask spreads look like vis-à-vis a year or so ago? And maybe if you can give - maybe a little greater color as to if there's any differences as to some of the things that are driving what you're seeing in the pipeline, is it any different than what you've seen historically? Thanks.
Jay Hennick: We've talked about this on previous calls. I think that the bid-ask spreads for, I'd say, third-party companies, not companies that are part of Colliers, which is a little higher than it has been historically. But we try and compensate for that in many ways because it allows us, given a variety of factors, it allows us to perhaps build an earn out structure that might be a year longer than we would otherwise expect. And for that, we're prepared to pay a quarter point - a quarter turn of EBITDA higher on average or something like that. So we have been - and as you can see, most of the acquisitions now have been more significant in size. So there's a lot of people that you're bringing over at one given time. And so having a claw back over a longer period of time gives us lots of downside protection around the acquisitions that we complete. So in a long way, I would say, yes. There is a push up in expected value. We do try and compensate in deal structure. But I would also say that, more often this year than last year and in subsequent years. The targets want to be part of Colliers. They're coming to us because they need to be part of a global platform. They're coming to us because they believe they want to be in an entrepreneurial environment, where we focus on adding value to clients rather than building infrastructure and bureaucracy and things like that. So our business is conducive to entrepreneurial environment. So we have been finding that the targets are more keen to join us today than ever before. And it just seems to have gotten easier and easier over the past three years. So all of that to say, we've got lots of room to grow here.
Marc Riddick: Okay, excellent. And then one last follow-up for me, you talked about earlier being able to compete for wider-ranging and deeper assignments. I was wondering if you could touch a little bit on where you feel you are, I know we've seen some of the announcements made with the additions of leadership and the commentary earlier in the call about additional personnel. One things at a sense specifically around those type opportunities where you didn't have broader and deeper relationships, how you feel about your current level of staffing to take advantage, specifically of those type of opportunities and where you may need to go vis-a-vis maybe where you would like to be? Thank you.
Jay Hennick: Well, if you're talking about our corporate solutions business in particular, I would say that if you're asking where do we stand versus CB and Jones Lang. We are well behind them. They've been around 100 years, both of them, and they've been in the business 100 years. And so we're the Johnny- come-lately at 20-odd-years of trying. But I would say that, again our momentum is picking up. Our growth, percentage growth in that segment of our business is above the highest of any other - internal is above the highest of any other segment in our business. And obviously, when you win that business, these are big contracts and they are global contracts and there's multiple services to be provided all over the place. So and the segment itself is growing. So there's good - there's a greater push to outsourcing today than there was five years ago. So it's a big part of our business. Candidly, we could really dedicate more time, effort and energy into that segment of our business if we wanted. And it's something that we would like to do. But there's only so much growth you can take on at any given time. You don't want to screw up the relationship, the new relationship that you've formed with a major corporate. So it's - once you win one of these mandates, is the good news is you celebrate for five minutes and the bad news is it's 1.5 years of implementation. And so that implementation has to be done flawlessly or as flawlessly as possible and it takes a lot of people, it takes a lot of time. And frankly, in the first year or 1.5 years, it's probably not profitable for us. I'm looking at John, it isn't profitable for us. And so we're trying to take - more of a two-step time approach on that and it's been successful for us, and we see it as an opportunity. So we're going to continue to pursue that. But we're going to do it cautiously.
Marc Riddick: Okay. Thank you very much and I really appreciate the color on it. Thank you.
Operator: And your final question comes from the line of Michael Smith of RBC. Your line is open.
Michael Smith: Thank you and good morning. I just wanted to touch up on - touch on Europe. So your investments in Europe, I take it they started a couple of quarters ago and they're ongoing as of Q1. Can you just remind us of how that flows through the revenue stream? I mean you've got some, I guess, expenses that burn off after a period of time and then the revenue starts kicking in?
John Friedrichsen: Yes, I mean, it's really around people and taking on headcount that - where we've made the financial commitments to help transition people from where they previously were. There's always a ramp up period and as there are cost associated with that and we're happy to provide, I guess, effectively, a make hold to the individuals that decide to come on board. So we're paying some staff and related compensation costs and not really seeing any revenue being generated currently. Certainly, pipelines are building and opportunities being pursued and secured. But we're not likely to see the positive impact of the revenue generation from that till the back half of this year.
Michael Smith: Okay. And just switching gears, Jay, can you just highlight some of the reasons or get into some more specifics of why a lot of these smaller shops want to join a global platform? Particularly, for sales and leasing?
Jay Hennick: It's actually very basic, because a successful professional works with a client and as the client matures, the client wants to do business, not just in his home market or her home market, in markets in different parts of the country or North America or around the world, and you need fulfillment to execute on those transactions. And the client itself who has built a relationship with our advisor, wants our advisor to ensure that there is a streamlined of consistent approach to looking for leased locations or asset purchases in different geographic regions. So what we find is, the smaller firms, even if the smaller firm wants to stay smaller, the professionals that want to enhance their practice have to be at one of the global firms in order to be able to deliver on all the things I just said. So there's more sophisticated transactions, the size of the transactions are - and velocity are bigger and much more lucrative. So ultimately, the best advisors need to be at a global firm. Not to mention all of the other resources and differentiators that, that large firm can bring to the party. And they're different, whether they join one of our peers or ours.
Michael Smith: Okay. Thank you. That was helpful. And just lastly, just on Asia, I mean you've talked about Japan, but you had a very big quarter in Asia. I wonder if you could give us just a little bit more granularity on it?
John Friedrichsen: Michael, it's John. It's something we've talked about I guess for the last couple of years. I mean first of all, we made a pretty significant leadership change there about 2.5 years ago. And our original CEO has in turn brought in some senior people both in Hong Kong and in China in particular, and that has generated a fairly significant amount of additional business for us. So it's a work in progress. And we previously had noted that when we were generating results there that we're not in line with where we expected those results to be longer term, so we're seeing some of the positive outcomes around that. Market conditions, I think, in those regions have been supportive of activity, and we're taking advantage of that.
Jay Hennick: And David Hands himself, who is the leader of our Asia business is very - got a culture very similar to us. He's very entrepreneurial, he's aggressive. He's the one that initiated the activity in Japan. This is - this was something, as many of you now know, was a 2-year process to make Japan a company-owned operation. He's got his fingers all over the growth in China. Hong Kong has never seen better results. And I think David deserves a lot of credit for bringing the entrepreneurial flare to a market that has not historically been entrepreneurial. So we hope for more. They did their first acquisition this year…
John Friedrichsen: First quarter.
Jay Hennick: Yes, within the first quarter or just after. It's a project management business, that's Shanghai Beijing, Chengdu and a little bit in Hong Kong, although there's no people in Hong Kong. And so it's a great tuck under for David. The business - our business in China never did project management. It was a business that was owned by a British group. And we had done lots of business together over many years and when they decided that it was time for a change. We were the natural buyer. It's not a significant business. It's circa $12 million in revenue U.S. dollars in revenue, but that's fee revenue, so they managed a large projects, but get paid as a landlord rep on those projects. So as you know, we have similar operations in Canada, the U.S, Australia, New Zealand in project management. So it's a good first edition for David. And obviously, we see lots of future opportunity in Asia in the years to come. But again, we're going to take a one-step-at-a-time approach, and hopefully, have a much bigger business there in the years to come.
Michael Smith: Great, thank you. That's it for me.
Operator: There are no further questions in the queue.
Jay Hennick: Okay, thank you very much, ladies and gentlemen, for joining us on the conference call, and we hope to speak to you again soon. I guess next conference call at the end of July. Okay, thanks again. Have a good day.